Operator: Welcome to the Safran Half Year 2025 Results. At this time, I would like to turn the conference over to your host, Olivier Andries, Safran's CEO; and Pascal Bantegnie, Group CFO. Mr. Andries, please go ahead.
Olivier Andries: Good morning, everyone, and thank you for joining us for Safran First Half 2025 Results Call. I will go through the presentation together with Pascal. First of all, we are pretty excited with the current trends in our markets. Those of you who attended the Paris Air Show were able to witness the renewed dynamism of our commercial and defense customers and their appetite for our new technologies. At the same time, NATO members have agreed on planned increase in defense spending, which will translate ultimately into new market opportunities for Safran. We are also pleased to report some improvements in the supply chain for the first time in a long time. We welcome the progress made on the transatlantic agreement to remove tariffs on aerospace products, which is a positive step for the industry. In parallel, we continue to implement targeted mitigation measures to manage any potential impact. Once again, Safran delivered a record performance this semester with double-digit growth across all key metrics. Note that we delivered a 17% operating margin, which exactly represents the midpoint of our 16% to 18% guidance provided back in December 2021. Civil aftermarket continues to perform very well across the board. In light of this momentum, we raised once again our full year guidance. Two additional information from July news flow. First, on July 21, we succeeded to close the acquisition of Collins actuation and flight control activities after a long journey. This is a key milestone in strengthening our flight control offering. The teams are now focused to deliver the expected cost synergies by 2028 and grow the commercial momentum. And at last, as you have seen this morning, we have announced the location of our fourth carbon brake factory. It will sustain the strong demand both in original equipment and MRO on this segment. Turning to Slide 4. Safran enjoyed a strong commercial momentum across its businesses. Ryanair ordered 30 LEAP-1B spare engines, to reinforce operational resilience and support its expanding 737 MAX fleet. This marks another step in CFM long-standing partnership with Ryanair. We unveiled THE Room FX with All Nippon Airways, a new business class seat for the 787-9. It combines privacy, comfort and sustainability, setting a new benchmark in premium cabin design. In line with our decarbonization road map to support aviation electrification and hybrid-electric propulsion, we set up a major partnership with Saft to develop a high voltage battery system for aviation, and we launched a technology program together with Daher, Collins and Ascendance to design a hybrid-electric propulsion architecture for light aircraft. On the defense side now, there is a clear commitment to increase investments with global military expenditure reaching levels not seen since the end of the cold war, particularly in Europe. As an example, members of the NATO Alliance have agreed committed on a significant defense budget increase. We are significantly raising our production capacity to meet the new demand and serve our backlog. The export momentum for the Rafale remains very strong. We signed a new contract for 26 Rafale for the India Navy. In the meantime, we decided to engage into the development of a more powerful evolution of our M88 engine powering the Rafale and design for the future F5 standard. This should help to grab new customers. We also build our strategy on external growth and key partnerships. We have announced several new partnerships at the Paris Air Show with key players, such as Bombardier from Canada, Diehl, Germany, Babcock in the U.K. Kongsberg in Norway, to name a few, this collaboration span air-to-ground munitions compact optronic systems for UAVs, multisensor artificial intelligence for persistent geospatial intelligence and Naval Strike Missile propulsion, for which we received an order of several hundreds of turbojet from Kongsberg in Norway. We expanded our partnership with Avio Aero and MTU to jointly develop Europe next-generation engine for military helicopters. Recent acquisitions include Orolia in positioning, navigation and timing. At the Paris Air Show, we have launched BlackNaute and Skylight, 2 cutting-edge systems delivering resilient PNT, resilient positioning, navigation and timing designed to operate in GPS- denied environment. Preligens, now Safran AI, our AI factory is expanding quickly. In the end, we aim to double our revenue base in defense and space activities by 2030. We have the right technologies. We have a clear road map to access new markets, we are building on partnership and external growth, and we are expanding our production capacities. Pascal, I'll leave you the floor to discuss H1 performance.
Pascal Bantegnie: Thank you, Olivier. Good morning, everyone. As usual, I'll be commenting on the adjusted accounts, for which a bridge from the consolidated statement is presented on Page 7. The adjustments relate to FX or PPA. The EUR 4.8 billion change in mark-to-market of instruments hedging future cash flows has been adjusted in financial income in H1 2025. This is purely an accounting entry, no cash impact as our derivative instruments, hedging future USD cash inflows. On FX, Slide 8. In Q2, we have faced the fastest move in the euro-dollar since the '70s with more than 0.15 euro-dollar appreciation in a few weeks' time. Despite this, our team successfully managed to protect our hedging portfolio. As you all know, our strategy is notably based on options with knockout barriers. None of them have been triggered to date. As we speak, the dollar has returned to 1.14 a more comfortable level. I can confirm our target hedge rate of 1.12 for 2025 in the coming years. We strive to maintain an attractive hedge rate for as long as possible in a constantly evolving environment. Once we have a better view on the recently acquired business of Collins, we will factor in the hedging needs for USD and British pound. Turning to Slide 9. Revenue for the first half of 2025 reached EUR 14.8 billion, up 13% on an organic basis. The impacts of currency and scope are fully balanced out over the semester. Currency reflects a marginal appreciation of the euro versus the dollar and scope reflects the contribution of CRT, the engine repair business we acquired early 2025. Overall, Safran continues to deliver consistent, broad-based growth supported by favorable momentum in both services and OE across commercial aerospace and defense. The profits increased twice as fast as revenue at a rate of 27%. Recurring operating income reached EUR 2.5 billion. It is worth noting that the historically high margin level achieved in H1 at 17%, exactly at the midpoint of the range provided during the CMD '21. This is an improvement of over 7 points compared to 2021. I'll come back on the main drivers per division. Looking at the summary of the income statement beyond sales and EBIT, let me comment on other P&L items. One-off items amounted to a negative EUR 37 million, which includes an impairment charge on 1 program within Aircraft Interiors, restructuring costs, and I would say, the usual M&A expenses. Financial income is a positive EUR 32 million. The return on cash investment exceeded the cost of debt and translated into EUR 77 million in net financial interest. The apparent tax rate is 34%. This includes a onetime contribution of EUR 261 million, resulting from the 2025 finance bill in France. You must expect EUR 380 million to EUR 400 million impact on a full year basis, meaning an additional EUR 140 million in H2. Net income to the parent stands at EUR 1.6 billion, representing EUR 3.8 per share, up 11% from last year. Let's now take a closer look at our businesses, starting with propulsion. Revenue reached EUR 7.5 billion in H1, up 17% year-over- year. This performance was primarily driven by civil aftermarket with spare parts revenues up 21.6% in dollars, driven by strong demand for all engine families, CFM56, wide-body engines and LEAP. Services were up 21.1%, led by the ramp-up in LEAP RPFH contract revenue. On the OE side, LEAP deliveries were up 10% versus last year, after a drop of 13% in Q1, production accelerated sharply in the second quarter. Q2 was up 38% year-over-year and 29% sequentially. We also enjoy revenue growth in helicopter turbines, mostly in services and military engines with a favorable customer mix. Recurring operating income came at EUR 1.8 billion, representing a record 23.3% of sales, a margin improvement of 340 basis points. This is a lot to get excited with. This strong performance was driven by civil aftermarket both spares and services, the start of margin recognition of LEAP-1A RPFH contracts, including a onetime margin catch-up from previous years. And third, a significant number of LEAP spare engines in H1, and that ratio is due to decrease in H2. Moving on to Equipment & Defense on Slide 12. Revenue reached EUR 5.6 billion in H1, 8% organic growth. The growth rate of this division is lower than in propulsion due to its exposure to programs with a slower ramp-up at this time. The defense business growth was led by guidance systems, including Hammer and strong demand for resilient PNT solutions. We see more opportunities along the road. On the Aircraft Equipment side, aftermarket services increased across the board, especially in landing system, nacelles, avionics and electrical systems. OE volumes slightly grew notably on the A320neo and 787 landing gear year. Recurring operating income came in at EUR 703 million, up 7% with a margin of 12.5%, almost stable compared to 2024. This reflects a high comp base. Indeed, in H1 2024, we saw a onetime profit recognition when the Gulfstream 700 nacelle entered into service. On a full year basis, we still expect margin expansion by at least 50 basis points in that division. That says, the solid level of margin was supported by aftermarket growth, notably in landing gear, carbon brakes and aero safety system. Finally, turning on Slide 13, Aircraft Interiors. We are staying on track with our road map for continuous margin improvement year after year. We posted a profit of EUR 27 million in the first half, up EUR 17 million, lifting the margin by 100 basis points. While this remains modest, it reflects a solid level of services particularly in Cabin and continued progress in OE, notably business class seats, galleys and IFE. Revenue reached EUR 1.6 billion, organic growth of 15%. Both OE and services contributed to this performance. In Cabin, OE growth was notably supported by higher deliveries of 737MAX galleys, while services increased across the board. In Seats, OE volumes saw a strong increase with business class seat deliveries up 65% and aftermarket sales also contributing to growth. We did burn some cash in H1, also much less than a year ago, and we continue to strive to reach cash breakeven at some point. Turning to cash. Free cash flow generation reached a record level of EUR 1.8 billion, up 25% year-over-year. This strong performance was driven by a 25% increase in EBITDA, which reached EUR 3.2 billion. Change in working cap remained stable. The rise in inventories was partly offset by higher customer advance payments, notably on Rafale. We continue to invest to support growth and prepare for the future. CapEx totaled nearly EUR 800 million, with spending focused on expanding engine and MRO capacity as well as production capacity on landing gears, smart weapons, resilient PNT systems and low- carbon projects. This result reflects Safran's ongoing focus on operational excellence and cash discipline. Safran's net cash position remained almost unchanged with a balance of EUR 1.9 billion. The cash generation in the semester was used to pay the EUR 2.8 per share dividend and to finance the share buyback program. In the first 6 months, we bought back 2.9 million shares for cancellation purpose for a total of EUR 713 million. We also proceeded with the early redemption of the convertible bond, name is OCEANE 2028, resulting in a decrease of the net debt. We had a net cash out impact from acquisition of EUR 133 million related to the engine repair company called CRT. This net cash situation does not yet include the acquisition of Collins actuation business, for a total of $1.8 billion, which took place on July 21 with cash on hand. These are the proceeds from the electromechanical actuation business that we sold to Woodward. On the share buyback front, at the end of July, we have repurchased for cancellation purpose, 3.4 million shares for a total of EUR 850 million. These shares will be canceled at year-end together with a 0.2 million treasury shares that we reallocated for cancellation in April for a market value of EUR 50 million. Olivier, back to you.
Olivier Andries: Thank you, Pascal. At last, on Slide 17. We have completed the acquisition of Collins assets. We've seen actuation and flight controls. This is a major milestone in our aircraft equipment strategy, focused on mission-critical equipment and functions. I spent some time last week with our new colleagues in the U.K., and I welcome these teams again from the U.K., Italy and France as well as from many other countries. They are enthusiastic to join Safran. This business will be integrated within Safran Electronics & Defense and be consolidated from August 1. Our full year guidance does not yet include their 5-month contribution, which we expect to range from EUR 600 million to EUR 700 million in revenues. This business fits very well with our Safran DNA, leading technology, mission-critical systems, recurring aftermarket revenue and drive profitable growth. We expect the business to grow at attractive growth rates and deliver low double- digit EBIT margin through a combination of volume growth and cost synergies. In light of the H1 performance and the continued business momentum in both civil, aerospace and defense, we are raising our 2025 outlook. Revenue should increase in the low teens, exceeding EUR 30 billion. Recurring operating income guidance is improved by EUR 200 million at midpoint to reflect better performance in civil aftermarket. Free cash flow guidance is improved by EUR 400 million at midpoint, which reflects the improved business perspective and include Indian Navy advance payment on the Rafale contract. The revenue growth outlook for our 2 key indicators has been raised. Spare parts and services revenues are expected to be up in the mid- to high teens. Our guidance excludes the contribution of Collins as previously said and any potential impact from tariffs. Thank you. We will now answer your questions.
Operator: [Operator Instructions] First question today is from Olivier Brochet from Rothschild & Co Redburn.
Olivier Brochet: Yes. I would have 2 questions for you, please. First of all, on aftermarket, civil aftermarket. Could you give us a bit of color on how things have moved in wide-bodies, narrow-bodies, content price, volume and a breakdown between services and spare in terms of overall contribution? And second, could you give us a bit of a sense of the catch-up in the margin in the LEAP CSAs? What sort of size are we talking about?
Olivier Andries: Olivier, I will take the first one. On the CFM56 side, what we've seen is a slight growth in the number of shop visits. So we are in the range of mid, low- mid to -- low- to mid-single-digit growth in terms of number of shop visits. And we are benefiting also compared to H1 2024. We are benefiting from the catalog price increase that has been decided and put in place in August 2024. What has been the main driver for the growth of our revenues on CFM56 spare parts is the work scope. In fact, the work scope has increased compared to 2024. When we look at the high-thrust engine, this is where the growth has been, let's say, the most significant, so higher than -- even higher than on the CFM56. And here, this is really the impact of a higher number of shop visits compared to 2024.
Pascal Bantegnie: Olivier, on your second question, we've discussed during the last Capital Market Day, our methodology to recognize profit on LEAP RPFH contracts. As you may remember, the trigger point was the introduction of the new HPT blade and the LEAP-1A. So if I was to size the catch-up effect, given the fact that we have not recognized any margins before 2025. I would say that about 60% of the LEAP RPFH profits were recognized in H1, and we expect another 40% in H2. So it was more H1 balance versus H2. But all in all, I would say, it's quite marginal. Don't expect a huge amount of profits.
Operator: Next question is from Milene Kerner from Barclays.
Milene Kerner: I also have 2, please. The first one, could you please clarify what retirement rate assumption you're using for your CFM fleet through 2030, how might the current low level of retirement influence those assumptions? And then my second question, at your Capital Market Day, you outlined a target of EUR 6 billion to EUR 6.5 billion in operating income by 2028. Following this morning guidance are great. Now you're going to see a compound annual growth rate of about 8%. Should we interpret this as a conservative outlook? Or are there any underlying factor that might explain the trajectory?
Olivier Andries: Milene, I will take the first one and leave the second one to Pascal. The underlying assumptions on CFM, what we've seen the growth in traffic on the narrowbody side compared to 2024, which is about 5%, just slightly above 5% of available seat kilometers growth compared to 2024. The level of storage of CFM56 fleet has basically decreased a bit. So the -- we've reached something like slightly above 6% our fleet, which is stored, which is a lower level than even before COVID, 2019 where it was 7% to 8%. And the level of retirements has been very low, basically we were below 50 at the end of May of number of aircraft retired. So this is a very low level. This is even longer than pre-COVID again. So those are the underlying assumptions, which basically create a strong tailwind on the CFM56, flying hours, and therefore, shop visit, work scope and appetite for heavy work scope.
Pascal Bantegnie: Milene, on your medium-term outlook question. We disclosed our 2028 ambition last December. It was based on our view our medium-term plan that was built mid of last year. Given the strong start of 2025 and the comments made by our partner a week ago or 2 weeks ago, and the aftermarket business on civil engines, we can only confirm that the spare part business is more promising than we had expected with slightly more activity by the end of the decade. Now our budget cycle calls for a review of our medium-term plan in the fall. So it is only then that we will be able to decide whether the 2028 guidance deserves to be revised or not. And as you know, there are also some uncertainty regarding tariff or reduced domestic demand across the U.S. So we'll take our view and then we'll come back to you in due time if we need to revise or not our long-term view. But for sure, the civil aftermarket activity is much stronger than we expected, and it should last longer than we had expected.
Olivier Andries: Trend is very positive.
Operator: Next question is from Chloe Lemarie from Jefferies.
Chloe Lemarie: I have 2, if I may. The first one would be on the guidance for propulsion margin. I think Pascal at the full year, you mentioned 100 to 200 bps improvement. That was obviously much stronger in H1. So how should we think about the outlook for the year now? And the second one is still another dab at the 2028 outlook. I know it's a bit too early to give a proper updated view. But any reason why we should think that the growth that GE now sees on the CFM56 revenues by 2028. I think now they kind of see a 20-ish percent increase from 2024 to 2028 wouldn't apply to you in full? Or is it something that you view that you share with them?
Pascal Bantegnie: Chloe, coming back to my comments on margin expansion in the 3 divisions. Let me start to confirm that in Aircraft Interiors, we expect at least 200 basis point margin improvement this year. In Defense, as I said earlier, at least 50 basis points. So, this is unchanged from what we said for this equipment and defense and aircraft interiors. Now on propulsion, I can confirm that we can raise our ambition and expect now margin to expand by 250 basis points this year instead of 100 to 200 basis points. On your second question on the 2028 outlook, we can clearly think that what GE said on the revenue compound growth for the years to come should apply in full to Safran on the Propulsion business. Now as you know, more globally, we have a different mix of businesses, with equipment and defense and our Aircraft Interiors activity. But in propulsion, despite that the comparison base could be slightly different from GE and Safran. But in the ballpark, I would say, the same should apply.
Operator: Next question is from Benjamin Heelan of Bank of America.
Benjamin Michael Heelan: I wanted to go a little bit more in detail on the propulsion margin and some of the comments you made to Olivier because I'm not sure I'm fully on top of it. So when you started recognizing profit on the LEAP-1A, was there an accelerated recognition this year? Or is this just because you've started recognizing profit on the LEAP-1A. And how do we think about that into '26, when you should start recognizing profit on the LEAP-1B. How can we think about that?
Pascal Bantegnie: So we started to recognize LEAP-1A RPFH profits in H1 for the year 2025, but it also includes a onetime contribution for the margins that we should have recognized in the previous years, typically, 2023, 2024, 2022 and so on. So there was a slight onetime contribution from the non-recognized margin in the previous years. Once again, as I answered to Olivier, but maybe I was not clear enough. If we expect $100 this year, we did recognize $60 in H1, and we expect $40 in H2. So you see that the onetime contribution is not that important. Then in 2026, as GE confirmed, we plan to introduce a Maverick blade on the LEAP-1B at some point in time in H1 2026. This will be the trigger point to recognize margin on LEAP-1B RPFH contract, which will come on top of LEAP-1A, so you would expect higher profits in 2026.
Benjamin Michael Heelan: Okay. And then if we think about the LEAP-1A recognition ex the catch up, are you able to give us some color as to what you've started recognizing that margin out? Is it roughly in line with the divisional margin in propulsion, is it a bit higher? Is it a bit lower? Is there any color there you can help us with?
Pascal Bantegnie: No, I'm afraid we cannot disclose any details on that, Ben.
Benjamin Michael Heelan: Okay. And then one for Olivier. Olivier, can you talk a little bit about the LEAP supply chain issue. Obviously, you've had the strike and resolved that now. Have you been able to catch up the flow of production in the facilities? How do you see that trending over the next couple of months and quarters into the end of the year?
Olivier Andries: Ben. No, as we speak, we have not completely catch up the impact of the strike. We had a low Q1, mainly driven by, let's say, supply chain issues. And then we had the strike. So the plan is to recover by somewhere like end of October. By the end of Q3, we should mostly are recovered, not entirely recovered. The plan is to recover completely by the end of October in order not to, let's say, impact, let's say, the Airbus delivery plan. This is the goal. Our team and our partners team are fully engaged on that plan. And so we are going to continue to work very hard to recover backlog, this backlog. Yes.
Operator: Next question is from Christophe Menard from Deutsche Bank.
Christophe Menard: I had 2. One to bounce on the LEAP-1A RPFH catch-up. Should we expect a higher contribution when it comes to the 1B RPFH catch-up? Or is it similar in terms of margin? Or will you also apply a 60-40 type of split? Second question is, you mentioned the new engine for the Rafale. I was wondering the financing of this, is it something you will be paying out of your own funds? Or will there be some funding coming from the government for that?
Pascal Bantegnie: Christophe, to be honest, I don't know yet what will be the catch-up on the LEAP-1B because the LEAP-1B RPFH contracts may have different margin profile compared to LEAP-1A. So I've not yet looked at the unrecognized margin that we have had in the past years. So I don't have the answer to your question, but there will be a slight catch-up impact, the onetime contribution as soon as we start recognizing the LEAP-1B profit next year, yes.
Olivier Andries: And Christophe on your second question, this, let's say, increased thrust engine development for the Rafale F5 standard, as it is part of the F5 standard, we are engaged in the discussion with the French MOD for the funding of it, indeed.
Operator: Next question is from Robert Stallard, Vertical Research.
Robert Alan Stallard: Just wanted to follow up on Ben's question. You clearly had a lot of pressure from Airbus to ramp up those LEAP engine deliveries in the second half. I was wondering if you could comment on your confidence in hitting that Airbus delivery target? And then secondly, on defense, you commented you expect the revenues to double by 2030. Do you see it as a straight line to get into that number? Or is it more back-end loaded?
Olivier Andries: Robert, well, yes, as I mentioned in my response to Ben, the goal is to recover our net backlog on the LEAP deliveries to Airbus by the end of October. So we have a plan for that. So it's all now a matter of execution. This is a challenging but achievable plan. And once again, the team is fully, fully engaged. We'll take in due time the right decision also with respect to allocation of spares versus installed engines to Airbus in due time. On your second question, when I mentioned that we expect to double our revenues on defense more precisely, it's on our defense electronics business. On the engine side, on the propulsion side, basically, the growth is driven by the, let's say, very successful export dynamic of the Rafale. We have also a strong dynamic on military helicopter engines as well. But when I mentioned that we expect to double our revenues in defense, I was basically talking about our defense electronics. Yes, we are really confident on that. By the way, we have decided to double the capacity of our navigation system production in [indiscernible]. We have basically decided to multiply by 3 and probably even more our production capacity for missile engines. So the dynamic is very strong in Europe. And it's not backloaded. The growth is -- we are talking about like a 20% growth sort of compounded annual growth. So the dynamic is very strong. Our navigation system, what we call hammer. Hammer is our air-to- ground strike missile, in fact, and on optronics as well.
Operator: The next question is from Ken Herbert at RBC CM.
Kenneth George Herbert: Two questions, if I could. The first is on the full year guidance for Civil Services versus aftermarket, the guidance implies a bit of a step down in growth in the second half versus the 21% to 22% we saw in the first half to get to the mid- to high teens. Anything in particular you'd call out there that in terms of the decel in the rate of growth or just general conservatism? And then second, for the increase in the full year free cash flow guide, can you just comment how much of that is timing of M88 engine payments relative to strength across the business and specifically in the aftermarket?
Pascal Bantegnie: Good morning, Ken. First, on the full year outlook for spares and services. So we are raising our guidance to -- from mid-teens to mid to high teens. True in H2, we should see the growth rate lower than what we had in H1. But if I look in value in dollar terms, we should have higher revenues in spare parts and services in H2 when I compare to H1. So it's purely as a comp base. And as you know now, we escalate prices for the catalog and spare parts on the 1st of August, meaning that the seasonality has changed compared to the previous years. Now Q1, Q2, Q3, we see sequential growth for each and every quarter, and usually, there is a bit of a step-down in Q4. On your second question on the free cash flow guide, it's coming from strength of the business purely. So there is no onetime effect. It's purely aftermarket and the inclusion of the advance payment on the Rafale, which was not in our budget. And by the way, when we look to our 2028 free cash flow guide, I was very explicit at the last Capital Market Day that we had not included any advance payments on the new Rafale contracts. So Indian Navy is a new contract. So we will receive advance payments not only in '25, but for the years to come as well.
Olivier Andries: Ken, on top of Pascal's comment. And I'd like to add that basically on the military propulsion, on the military propulsion, which encompasses both military combat aircraft engines. And also helicopter engines, basically, we are more back-loaded, meaning that H2 is going to be stronger than H1. So this is also another ingredient that makes us very confident that the H2 performance in propulsion will be similar than H1.
Pascal Bantegnie: We'll take another a couple of questions.
Operator: Next question is from Herve Drouet from CIC Market Solutions.
Herve Drouet: Two questions as well on my side. The first one is, could you -- is it possible to be a bit more specific on the one-off you have booked for LEAP-1A, profit booked 60% booked in H1 kind of order of magnitude will be useful. And the second question is the allocation of spare engines versus new engine. I understand, I mean there has been a recent spare engines been delivered to airlines. I was wondering how are you allocating spare engines versus OEM? Is there any rule of thumb you can give us in the way you allocate those engines?
Pascal Bantegnie: Herve, I guess you should not overstate the contribution we benefited from this onetime contribution. Frankly, it's quite marginal. And as I responded to Chloe, with a 250 basis point improvement in margin for the Propulsion segment, you'll see that the performance we will achieve in H2 should be quite similar to what we had in H1, meaning that this onetime contribution in H1 didn't play a lot of -- did not have such a strong impact. So I will not quote more than I did on that, but don't overstate this onetime contribution.
Olivier Andries: And Herve on the allocation of spares versus installed, our guidance really is and our direction is really to make sure that our airline customers keep flying. This has always been the brand of CFM. So we keep you flying. And so it's really making sure that we avoid aircraft on the ground. This is what is driving us, mainly, and this is what the airlines are asking us to ensure because it is very frustrating for an airline to have an asset and not being able to fly it and use it because of an engine issue. So it's all about avoiding aircraft on ground, making sure we keep airlines flying. So it's a weekly -- it's a week per week decision with respect to allocation.
Pascal Bantegnie: We'll take last question, if any.
Operator: Last question is from David Perry, JPMorgan.
David Howard Perry: Just a factual question really. It's nice to see the very bullish comments on defense. Can you just tell me what are the actual sales in Equipment and Defense in defense? And what percent of helicopters is defense, please?
Olivier Andries: On the defense contribution to the electronics, the defense electronics contribution into our defense and equipment branch is today, turning to Pascal above 1.5. It's over 1.5 today, above EUR 1.5 billion today. And so we expect that to double by 2030. We have a space contribution, space, equipment contribution, which is close to EUR 0.5 billion as well. So EUR 1.5 billion defense, space, close to EUR 0.5 billion. So this is expected to double. On the helicopter side, it's roughly 50-50 between commercial and military. It's roughly 50-50.
David Howard Perry: Okay. I just -- the reason I ask, I'm just -- I think you said defense is about 18% of the group. And I just can't quite get there. I can follow up with our Armelle offline, but obviously, you got military aircraft, the numbers in defense electronics are about what I thought. I just wondered if helicopters was higher. I think it would just be -- you're talking about defense a lot and it's an exciting part of the story. It would just be nice to have some audit trail of the numbers would just be a request, if I may. But it's helpful. Your answer is helpful.
Pascal Bantegnie: David, yes, we always say that defense represents more or less 20% of total group sales. And I will split that into 2 parts, 10% is what I would call military propulsion is there for the Rafale, the A400M military helicopters and another 10% in defense electronics and space that Olivier was discussing. This is a broad split of what we call the broad defense sales within the group.
Olivier Andries: Sorry, on top of that, some of our equipment business is also directed towards military, such as landing gear for Rafale, landing gear for Eurofighter, landing gear for F-18, wiring for F-16, Aerosystems such as evacuation slide pilot equipment, our Aerosystems are also directed towards military. So the 20% that Pascal has mentioned is taking into account all that.
Pascal Bantegnie: Thank you. Have a good day.
Operator: Thank you. And this concludes today's conference call. Thank you for participating. You may now disconnect.